Brian Cassin: Okay, I think we're ready to go, so good morning everybody and welcome to our Full Year Results Presentation. Pleased to say, it's been a great year for Experian. And we've made a lot of progress on many fronts. I think when I stood up here in November, we sort of more or less said 2 things. One, we expected our growth accelerated in second half. And we expected North America Consumer Services to get back into growth in Q4. Really pleased to say, we've delivered on both of those. And we had a really strong finish to the year, and more importantly, I think we feel very confident about the momentum that we have growing into FY '19. Now a lot of that is based on the investments that we've made in the business over the last few years, things like investment technology, product, brand, culture and really strengthening the competitive position of the business through One Experian, and that's really started to reflect itself in the performance of the business. So I'm going to start today with an overview of the trends and the progress we're making and then I'm going to hand you over to Lloyd as usual to take you through the financials. Okay, so let's start with the highlights. Total revenue growth was 8% organic or 8%, 5% organic for the year. We delivered 8% organic revenue growth in Q4, incidentally that is the strongest organic revenue growth we had since 2012. EBIT was up by 8% and benchmark EPS was up by 11%. We have great momentum in the B2B business as you can see, performance in that has been strengthening for many courses now. In fact we ended the year at 8% organic for B2B and 10% in Q4. And that's now the longest most consistent highest growth we have in B2B since Experian's IPO in 2006, so very happy with them. I think most importantly, Consumer Services North America in Q4 got back into growth and we've made substantial progress really across all of our Consumer Services business and I'll talk you through some of that as we go through the slides. Good year for capital as well, we've returned 800 -- 950 million in dividends and buybacks and that takes us to more than 3 billion return to shareholders in the last 3.5 years. The dividend has gone up by 8% and we've announced new share buyback program up to $400 million. Okay, so as I said we've confidence in the momentum of the business, background to that really are some long term structural forces which are driving and shaping our industry. First one very familiar to you, data and analytics explosions really driving a lot of opportunities, more and more businesses and industries are turning to the use of data and technology to transform their businesses. Data is becoming cheaper to store, manage and analyze. And we're really seeing a lot of interest from clients who're expressing the need to make sense of all that across vast data sets and the requirements of working into their business processes. And that's where Experian comes in, the ability to use large data sets to drive -- use our products to drive sophisticated analysis from that, and help people make better decisions. And so as we look forward next thing we see is really a huge drive towards automation. We're seeing that, people have to really rework their processes, speed of disruption, and scale of new technologies have never been faster, and costs to serve is going to become a really acute battleground and this is being reflected in all the conversations that we've with our client. And again this is where our products come in because not only can we actually improve people's capability who can help them change their business processes and take cost out of their business, and we're developing our products to really drive that forward and adding capabilities like artificial intelligence, machine learning, really now play into that churn. Next is big trend consumer digital norms really changing very significantly, we are all aware of this. Consumers have more and more choices, they're more demanding. Concept to brand loyalty has -- is less than it once was. At the same time, they actually need a lot of help to help them make sense of the increased number of choices not to have, and what this means for business is that, it's going to be harder for them to identify, attract and retain profitable customers and any great products to do that and that's exactly where Experian comes into help. And then finally, the other big trend you see is regulation. It's creating new opportunities for us, you've seen it in many different territories, Brazil with positive data, Europe the GDPR and open banking, and a lot of what this is doing is really actually trying to put more control over the use of data and put more of that control back into the hands of the consumers. And again, these trends play into all the capabilities that we have in organization. So, we're really responding to all of these trends and strategic perspectives. You seem some of us do this. First point is obvious. The most important things that data, scale, breadth, quality of data paramount important and our prime objective is to continue to broaden the data sets and we're going to do that organically and do that through partnerships, minority investments, and you've seen us started to do that from acquisitions as well. As I said, the need for more sophisticated solutions is actually the key point here. More insights from the data and that's really where Experian's position really have a competitive advantage. And within the portfolio, we have a tremendous amount of products that can actually drive insights the data. And our value is going to be come from leveraging those products across our portfolio to develop end-to-end solution for our clients. And you can see this playing out actions some of the products that we've talked to you about, so we've talked to you a lot about PowerCurve, about recently that San and CrossCore prior to that and these are very sophisticated platforms that incorporate a lot of experience products into one solution for our client. We've seen that in the results coming through in FY '18 these three products alone adds about $60 million of incremental revenue and were seeing a lot of client adoption for these in the marketplace strong pipelines and great opportunity to continue and grow these businesses as we go forward. Now investments in technology has been a key enable for that and it's really is crucial. Our technology investment last year has been designed really to make as faster, quicker and more agile, and get products to market in a much more timely fashion. And this is going to continue to be crucial for us and going forward, it's given really broad capabilities across the business about data congestion, working cross different price for our portfolio and building more consistent in standardization to our products to reduce cost and we continue to see this as an area where we will push our investment going forward. And off course, we have I think not just big growth opportunities in the markets that you're very familiar with which Experian operate in and things like financial services to Telco, but even within that we have some strong adjacencies where there are some really good growth opportunities longer term like as identify, mortgage and lot of close adjacencies to where we operate today. So, we are putting all this strategies into action and I think it's visible and the strong performance we're seeing in later part of this year and in our confidence as we go forward. So let's turn to some of the regional performance to start with North America B2B. We had a very strong year, it was up 9% for the year overall and 12% from Q4. Standout performer in the portfolio was credit services up 11% overall and an outstanding performance in Q4 up by 14%, that is the strongest quarterly growth, that we had in North America Credit Services in our history and actually the biggest business within that is North America CIS was the strongest grower, so really strong. And we talked to you a little bit about Ascend platform we're here in November. This is the new analytics platform. The market reception with this has been fantastic, we signed 11 material contracts since September launch, and we expected to be another year where we broadened our ads to our client set and another strong year for Ascend. And the acquisition of Clarity Services has been also very strong. We spoke to about that acquisition in October, already exceeding our expectations and a good example of how we're adding new data sets in this case and file in North America to enhance our propositions. Further strong performance in the regional with business information, another good year of double-digit growth, this business unit is a great example of where we're using the technology investments we've made in the Experian portfolio to drive, additional market share gains. We've had strong performances in healthcare and decision analytics. Decision analytics was double digits and drivers of performance there really One Experian propositions, around PowerCurve, custom analytics, incorporating data from lots of our business units and deliver that in end-to-end solutions to our clients. And we've a really strong and growing pipeline of opportunities for FY '19. And I talked about Ascend and we're very excited about the market reception for that, but we're also going to continue to develop that platform as we go forward. And one of the ones that we're more excited about is Ascend and PowerCurve linking these two products together, it's going to be I think incredibly powerful. The chart behind you is not a concept, it's actually something that we've done for one of our clients, so it's already in market and we'll be investing to try and replicate this in FY '19 and beyond. And we do really is really quite complex, and difficult to achieve but it's also an incredibly powerful capability and one that's very-very difficult to replicate really brings a lot of the capabilities and experience together. So, I'll just spend a minute to talk you through the Slide, on the left is the Ascend stand box, you're familiar with that, hopefully 16 year file accessible bureau, combines our data with the client's data and data from many of the sources. It has built into the platform a lot of the tools that the analysts will use, Big Data tools, SAS, Python, visualization tools like Tableau, and this allows them to analyze their portfolio and design their strategies and the key points about this are that it built speed and agility and reduce costs into the process, on a significant scale. So, to give you an idea, it can now conduct planning and testing in much-much more rapid time than previously. They can see the results from that in minutes, compared to days or weeks previously. Now the big differentiator you could see on this chart is the integration of PowerCurve, and that's the center box, PowerCurve is a world-class precision engine. We've got massive success with this world license was introduced some years ago, and what it does is it acts as a bridge between the offline analysis on an Ascend, and the actual implementation in the client's environment. So clients can code, test, manage and execute strategies through PowerCurve and what that does is takes away some significant additional steps between strategy, design and implementation without the need to touch the IT organization of the clients involved, it takes a huge steps of the process massive cost and much more seamlessly. And really what the combination does, it mean the clients can move from analysis and design to coding a strategy to implementation in one platform with one set of tools and that is really, really significant and perhaps this is probably the best example that we can put up to show you what we mean by One Experian action because this capability really powerful. Okay Clarify had touched up for a moment. It's proving to a great acquisition for us. If you recall this was the acquisition that was the latter part of last year, it focuses on the nonprime segments in U.S. It adds about 60 million consumers in the U.S. who are largely invisible to our traditional lenders. Clarify is the leader in the segment it's over three times the size of its nearest competitor, it has greater positive and negative data than any other provider and the acquisition has been really successful so far. We realize synergies quickly, we've already rolled out from the Clarity's products for our traditional bureau clients and we launch new products on back of Clarity data including enhance scores and risk scores. Clarity is already expanding the addressable market for us and giving us an edge in data superiority. So really, really happy with the acquisition so far and overall North America B2B has tremendous momentum and deliver great growth and we see in a that momentum building into FY '19. Okay, maybe into Consumer Services, we returned to growth our organic revenue growth in Q4. I think the key difference is that we expect this growth to be sustainable. In fact, we expect it to improve from here into the first half of this year somewhere in the mid-single-digit rights. You recall a year ago, when we compared and talk about our new product introductions our first priority was identity and we have great success with identity so far, just over a year's since launch. We had over 200,000 paying members in our service and the pace of acquisitions continued to improve the product are best-in-class, we continue to add new features and we think we're going to able to sustain our growth. So in addition product we launched last year was LendingWorks and that really is now starting to grow, we got great momentum as we go into FY 19. The most of the progress we made on LendingWorks in the back of organically generated traffic through CRM leveraging the expensive base of pass concurrent Experian members and were going to continue to develop the product as we go through FY '19. And then were also announced in consumer engagement, one of things we talked a lot about by leveraging the portfolio to introduce products that are really difficult for anything over the period to do. And some of these product don't actually generate immediate revenue what they do is enhance outstanding and our relationship with consumers and a great example of this is our recently launched ultimatum dispute proposition a simple to use completely digital experience, provides consumers with self-service, more control better customer and satisfaction and higher engagements and actually one of the biggest pain points in the credit services industry. So instead a set up for great FY '19 more growth common identity better prospects and regeneration, good proposition overall. Okay turning to Latin America we delivered another good year of growth, organic revenue growth of 6%. We saw growth across all of our business lines of credit services, decision analytics and marketing services and leaving behind a number of major long-term deals with larger clients which combine a lot of our capabilities across data, software, scoring, consultancy and one of the key enablers of this event, our data labs and actually we have a lot of instances now where we have major clients working with us in the data lab actually putting their staff into data land, so work around outside our people at appropriate products. And this is helping us really to be viewed different in a market place we are now seeing experience [indiscernible] as much more of a strategic partner whereas several years ago we were really just use as data supplier. So, we are landing and also deals for new capabilities some of which are coming from around the globe for example this extra credit product that we talk to you about I can't recall whether it was last year or sometime ago. We've done very well in Brazil with tax of credit in the retail sector. Mobile prequalification which is a strong product in North America we introduce since so a really good prospects and a good pipeline starting to build. And off course last week, it was announced that positive data in Brazil took another step forward and drops legislation was possible in the house there are a couple more steps to go but we are really getting close to finish line of positive data and it is very good news for our business. And we talk a lot about big clients in Brazil but actually they are just 14% of our revenue. We have a very big business focused on SME and we see big growth opportunities in SME and in the consumer's segment let me just talk about both of those for a second. So our free consumer proposition SerasaConsumidor was launched actually just over a year ago, so it really hasn't been in the market very long but in that time we have created a mass market audience attracting 22 million customers to our free proposition. And one of immediate benefits of that is that we are actually capturing additional consumer contributed data in exchange for access these free services. Consumers are actually giving us data to complete the files since strengthening the B2B assets that's one immediate benefit were getting. And our focus now is on how do we develop our commercial propositions expect the long size. So we are already monetizing it and we think that we can scale that as we go into FY '19 and beyond. We do have a broad range of Consumer Services proposition one of them that we talked to you about before is called Limpa Nome, so already a big commercial success for us, what this does will allows consumers to clear their debt by negotiating with banks and other lenders it's now digital service allowing consumers to do that completely in an mobile environment and we have over 10 million Limpa Nome customers per day and we see an addressable market several times of that size. And one area we haven't talked to you a lot about before is SMEs and micro business and we think they are huge growth opportunities for us in this segment. We already have a large presence in this market and we see the opportunity to expand that by repurposing our products to make them more digitally orientated and access further part of the marketplace. And as an example of that is that were actually creating a versions of Limpa Nome and credit matching services projects the needs of small businesses and this is all part of our strategic roadmap to build out the capability of our business in Brazil and across Latin America and drive our growth forward. Okay, turning to the UK we've got great momentum in B2B and a very strong finish to the year we secured lot of new contracts for unique technologies like ExPIN, PowerCurve, CrossCore, interestingly also secured the large joint deal of CrossCore and PowerCurve in the telecom sector were really pleased about that and were also going to leverage global innovations and bring them into UK market, we have our first win for tax of credit in the UK and this year we plan to launch the Ascend platform in the UK as well. And off course new regulations are impacting most in Europe particularly open banking and GDPR. And when you look at the capabilities that we have at Experian across HT decisions Runpath and our core decision analytics capabilities, we're really in the sweet spot to help clients improve consumer engagements, demonstrate responsible learning, reduce costs, and this is opening up new opportunities for us in the UK. We are already today in the pie that the customer takes the mortgage process, looks at mortgage process, trying to make it faster, easier, and simpler for consumers and lenders. And the breadth of our capabilities in the UK really puts us in a very strong position to drive growth in the coming years. So, UK Consumer Services, we're making very good progress, CreditMatcher is performing very strongly and the rate of decline, the membership product has moderated significantly and of course we announced a few months back post acquisition of ClearScore, we think this will help us reach our goals faster and drive a lot of synergies between two businesses. CreditMatcher and ClearScore are complementary brands addressing two different market segments. CreditMatcher has nearly 4 million consumers its own right. It's been hugely successful product introduction. ClearScore which came to market a bit sooner, has 6 million combined audiences, give us then access to a large part of the population, and gives us the ability to add the Experian capabilities to address that population, and really build that products and services. ClearScore is very strong in consumer marketing, they've a very strong acquisition machine, brand resonates with the younger demographic and their membership base is highly engaged. And on the Experian side I think we're excited about the capabilities that we've in the portfolio, that we can bring to have the proposition by embedding data, decisioning into correct comparison and that's going to improve the results of consumers, lenders and be good -- a good outcome for Experian and everybody else. Okay, turning to EMEA, Asia-Pacific I am pleased to say that we delivered double-digit growth in the region, also rightly say, we delivered double-digit growth in EMEA which is the fastest growth we've seen in this region for decades, Asia-Pacific continued its track record of very good performance of double-digit growth rate in the year. And it's really been driven on the back of a lot of the global products that we talk to you about, but we're seeing really strong clients interest and actually seeing deals, transactions, and opportunities of the magnitude which we haven't seen before, multimillion dollar deals with a lot of new logos. And we're also investing in our capabilities in the region to drive organic growth even further. Shifting from being a really a provider of some point solutions to a breadth of capabilities across the needs of our clients. In fact, I was in India just three weeks ago and we had a chance to see how the local innovation investment we're making, actually helping us access to the product -- and tailor our products in a unique way. I'll give you one example, there's as an organization called India Bulls, it's a conglomerate, has a financial services arm, and they came to us because they want to create a completely paperless mobile application and reduce their current loan process from about eight days and their objective was three minutes. And they wanted that to be operational in four months and so we did it, we took our existing PowerCurve product, we worked with the client and we created a product which achieved our objective. So we combined the BO data, fraud data, we also combined nontraditional data which we're capturing through mobile phone, submission based mobile phone data contributed and we're using that, score them all done in the PowerCurve suite and delivered to the client. So four months we're up and operational and very happy with the proposition and we're seeing lots of these type of opportunities that are using global capabilities that are actually uniquely tailored for those markets. So, we're excited about the prospects in the region, and we've got a lot more to go for and very, very optimistic about the outlook as we go into FY '19. And just the end the final reminder the importance of the operation execution has been married to capital allocation framework. We've improved the efficiency of the organization over last few years and we use those cost savings to reinvest back in our business and you're seeing that through a lot of new product that we're introducing. We will pursue acquisitions we've been very successful. The ones we've made so far that closely align our strategic ambitions, Clarity, CSID, Runpath, all adding really to our capabilities to the core of our business. What we also done in the last two years is actually slightly different we've also start to look at businesses and buying the minority space with past control. We did that with Runpath, where we have a period of time where we work with the organization test that the product, see what the mark prospection is and then get confidence and then move to full control and we're also increasing taking minority stakes in Fintech companies which are closely aligned in areas that we work in and that give us a great opportunity to learn about the marketplace, learn about that company and help us in our innovation pipeline as well. So just to summarize, I think we make huge progress across the portfolio. We have a lot of excitement in the business about what we're doing and the opportunities that we have. B2B business is performing really well and we expect this to continue. All regions are seeing the benefits of investments that we've made in the business over the last few years, all these factors, as well as the One Experian approach, new sources of data, really driving strong levels of growth a good margins across our business. I think we've reached the inflection points in our Consumer Services business, we're building audiences with the scale diversifying our propositions, addressing large and growing market more importantly were back in growth in North America and on the pass back to growth overall. So I think we're in a very good position to make further progress in FY '19. And with that, I'm going to hand you over to Lloyd to take you to the financials.
Lloyd Pitchford: Thanks, Brian, good morning everyone. I will start as usual with a recap of our financial metrics and then also the results in a bit more detail. As you see, we've made some great strategic operation and financial progresses last year. And so momentum improving as the year progressed. Performance across our B2B business was very strong with an improving outlook in Consumer Services business. We're making good progress in both identify protection and credit comparison services and rapid growth in our free membership base. We had another strong year of cash conversion and return on capital alongside it. Within our capital allocation, we continued our organic investment in innovation, new product innovation, maybe number of inorganic investments, including the agreed acquisition of ClearScore, as well as returning significant capital to shareholders. As you've heard from Brian, organic growth accelerated at 8% in Q4 bringing total revenue growth to the year to 8% to organic revenue growth to 5%. Benchmark EBIT margin was 27.7% in line with the prior year constant rates and our 10 basis points of actual rates. Benchmark EPS growth was double digit up 10% of constant currency and 11% at actual rates. And as we highlighted the half year cash generation improved in the second half. I will give overall cash conversion of 93% for the years all. And finally following the really strong momentum we've seeing through the year and the progress we've made in the positive outlook the boards approved an 8% increase in the full year dividend. Turning to look at the organic revenue work trends and a little more detail that we're seeing through the year, on the left you can see the organic growth progression in our B2B business, and as you can see B2B growth was consistently strong through the year and a great finish through year of 10% in the fourth quarter. And this reflects the strength we're seeing across really all of our B2B businesses and as the growth that comes through from so many investments their innovation and new public development that we've been making in these last few years. On the right hand chart you can see the Consumer Services progression which were seeing improved markedly during the year, really reflecting the success of the new product launches and our rapidly scaling free consumer base. As Brain mentioned, the North American consumer business returned to growth in the fourth quarter, and the overall Consumer Services business was stable in the fourth quarter on the prior year. Now turning to the contribution revenue by region, in North America B2B was strong contributor up by 9% for the year on 12% in Q4, reflecting on the new product investments and also an improving decision and improvement performance across the year is a whole. We sustained good levels of growth in Latin America despite some weakness in countercyclical revenue so time to moderate little in Brazil and in UK B2B we're secured some major One Experian client wins and had a strong second half to year with 5% organic revenue growth for the year as a whole. And in EMEA and Asia-Pacific as Brian said, highly great year by delivering double-digit top line organic growth and both sub regions there were in double digit for the full-year. And while Consumer Services declined for the year overall, it was stable in the fourth quarter reflecting now improving trajectory and particularly growth in the North America. Acquisitions contributed 2% overall and our advisory to CSID that contribution in the first half and Clarity on the second and we have the modest OpEx of 1%. So you can see overall bringing the group's total revenue growth to 8%. Looking at that EBIT margin starting the year with our prior year margin you can see we delivered strong progress across the B2B business with total B2B margins up a 110 points contributing 90 basis points to the group margin and that margins in North America and the UK reflected about new product growth and EMEA and Asia Pacific continue to benefit from improving scale and we continue to invest in diversification across Latin America and we can see our improving margin in the business offset with the little bit of weaknesses in Latin America that we saw in the middle of the year. And margins in Consumer Services were flat to support we've been putting behind the new product launches of the last period as well as the revenue contraction so when you just had a year as a whole. Acquisitions are provided as by uplift to margin 10 basis points and as to the 10 basis points FX benefits and you can see the overall position was 27.7% up 10 basis points overall for the year whole as a whole inline in constant currency which is in line with their guidance we've provided at the side of the year. Turning to the regional results and I'll comment as usual on the performance of constant exchange rates and starting with North America where total revenues that was 8% and organic growth was 6% and the acquisition impact came through principally [indiscernible] and the CSID. Credit services grew strongly up 11% overall with organic revenue growth of 9% fourth quarter organic revenue growth was 14% consumer information so good growth in credit prequalification origination and account management. Mortgage performed strongly following the start of the new Fannie Mae trended data contract and that was a first time contribution from the Experian Ascend platform. Both business information and health also performed well with strong double-digit growth during the year. Clarity Services had a strong -- very strong start exceeding our pipeline and provide a great platform for alternative data for our clients. Decision Analytics is now consistently delivering strong levels of growth of 10% for the year with great progress in software, fraud and analytics including the major One Experian wins. And in marketing services, we had another strong year largely driven by growth and targeting. So combined across these three segments, we had 9% organic growth across the North America B2B operations. Looking at Consumer Services, we saw sequential improvement in North America and while organically revenue declined 2% for the year it was up 2% in Q4. And this return to growth was mostly driven by the growth in subscription products, particularly the IdentityWorks product which contributed just short of $20 million for the year from a base of around 200,000 paying members at the year-end. Overall, we saw growing contribution from credit comparison services and from a relatively low base in the prior year and also from Partner Solutions as we expand our position with existing clients. So given this progress as Brian said we now expect Consumer Services to continue to improve and for the first half of FY '19 we'd expect growth to be in the mid-single-digit range. Overall EBIT for North America was up 7% to 833 million and the margin of 31.5% reflected strong B2B progress and the investment behind the new consumer products. Over to Latin America, we had good performance with growth of 6% across the region and 7% in Brazil. Growth in Credit Services however was 4% with Brazil up 5% as countercyclical products began to moderate and the economy continues to improve. Decision Analytics growth was 25% reflecting strong demand across the region for decisioning software, analytics and for surface scoring. Marketing services revenue increased 29%, as we made good progress in growing our client base and also introduced some new products and services, and overall Benchmark EBIT for the region increased by 5%. Over to the UK, at Ireland our total growth was 1%, including the Runpath acquisition and again the revenue was flat overall, and year finished well with Q4 organic growth of 4%. Credit Services total revenue increased 7% and organic revenue growth was 4% with good growth in credit reference, background checking and credit prequalification volumes. Decision Analytics had a good year up 6% organically and double-digit in Q4 as we secured some major new agreements across the One Experian proposition particularly in software and fraud prevention. Marketing services grew by 4%, principally across digital marketing and that takes the UK's total B2B growth for the year to 5% and 9% in Q4. And Consumer Services we saw decline by 16%, as we've signaled moderating sequentially as went through the year with fourth quarter down 12%, and we expect improving trends with the last 3% improvement each quarter to continue through FY '19. CreditMatcher continues to deliver very strong growth in total rates and we obviously are very excited about the opportunities and the combination of Experian with ClearScore. Overall then EBIT level the UK grew by 2% with margin up 80 basis points to 31.3% really reflecting margin leverage across B2B and more than offset by more than offset the Consumer Services transition cost. In EMEA and Asia-Pacific, it was up strongly up 11% for the year and I said that was double as you can both sub regions. Credit services were up 3% with good growth particularly across Southeast Asia and a solid performance in the EMEA. We had multiple new agreements for PowerCurve, decisioning software, helping to drive decision analytics growth where we have another great year up 18%. Marketing services also performed very well, up 12% with strong growth across both data quality and targeting in this region. And as expected the growing scale across EMEA and Asia Pacific both the region is profitability of role for the year. Turning now to EPS, FY '17 benchmark EPS was $0.84 per share a growth in benchmark EBIT from ongoing activities was 7%, reflecting the strong organic revenue growth performance, interest expense increased to 85 million and interest as interest rates started to increase during the year, we saw a benefit from share repurchase program with weighted average number of shares now at 917 million for FY '17 and a rule when a strong performance with 11% growth in reported benchmark EPS. Taking a look at our usual reconciliation from benchmark to statutory results, you see amortization of acquisition intangibles increased slightly to 112 million following the change in the U.S. tax legislation probably through the year those are large tax credit as our deferred tax liabilities were revalued down. We have $57 million of one-off legal charges in the year and these relate to sentiments about 10-year-old legal disputes and I disposed business in Canada and also increase in a provision relating to historic U.S. legal disputes. Taking all these into account before non-cash financing measurements statutory profit increased 17% to $869 million. Non-cash financing re-measurements move from 67 million credit last year to a 4 million charge and as that moving is principally due to FX rates and our present business in the prior year. Last year profit from continuing operations was 845 million up 4% on FY '17. Turning to cash performance as we expected cash generation strengthened in the second half to get another good year. Conversion rates and benchmark EBIT into operating cash was 93% lower head of our 90% and operating cash flow was 1.6 million free cash was 950 million not represented 102% conversion of benchmark earnings for cash. On to our capital framework continues to reflect the capital framework that we outlined about three years ago. I would invest organically across a broad range of activities, including the innovation and growth initiatives that you sort of bronze presentation, we completed the clarity on Runpath transactions during the year made a number of minority and venture investments. We raised the dividend by 8% to $44. 75 a share, reflecting the great momentum you seen during the year and also the strong outlook with we got for the year ahead. And we completed 566 million of share repurchases by year-end and today announced another, 400 million program of which around 300 would be accretive. And we continue to report a strong return on capital during the year and the return on capital employed was 15.7%. On the net debt and the balance sheet we ended the year with net debt of 3.4 billion up 200 million on the prior year and that's generating free cash flow of 1.2 billion taking account to acquisitions net share repurchases and dividends net-debt-to-EBITDA at the year-end was 2.1 towards lower end about 2 to 2.5 range. And if we include and that and adjust you'll see whether we will be at about 2.3 so well within our guidance range. You see from these management we've announced the new segmental structure today I think probably as expected given how we were talking about our results this last year and really reflecting the way that we've been managing the business under that one experiment banner. And we will report on this basis from Q1 and as a reconciliation in the back of the presentation for this and for change to IFRS-15. And were making no changes to our regional structure which is our primary reporting structure but as the time as we've discussed we are increasingly managing the business our B2B business on One Experian basis and following the disposable of CCM now it feels that appropriate time to bring our businesses together and reporting as B2B business. And within B2B, I will share revenue disclosures formally as a split between data and decisioning and you can see the table on the right and probably simple to follow really just how we are moving and also allocating at the old marketing services of segment between later and decisioning. I would say we've provided a detailed reconciliation in the back of the presentation and I can spend some time with you offline talking to you about on the IFRS-15 adjustments. So on to as the modeling considerations for FY '19 we now expect that total revenue contribution pro forma for the acquisitions completed in FY '18 to be around 75 million on a pro forma basis remember so that was about 65 a few months ago, so real strengthening performance from Clarity particular and of which about 30 million is reflected in FY '19. Obviously, this excludes the acquisition of ClearScore which remains subject to CMA approval. FX rates have been quite volatile in the last month the month as a whole is the average rates that will be about 1% headwinds so the year has and assuming we are keeping eye and as we get through the year. On to IFRS-15 as expected the impact is fairly immaterial on average across the group revenue will be recognized slightly later and then there is some recurring accounting standards the FY '18 adjustments around 78 million to annual revenue and 31 million as to talk about the facts there is no impact from cash and accordingly our FY '18 cash conversion would have been about 3% higher when you restated for the new standard. So that solidifies our cash conversion very well in that mid-90% range and then it's important to say the majority of the revenue differs relate the contracts as where we receive the cash up front. So when you see the restated balance sheet you will see an increase in differed income so that's how years capture that's already receive but will be -- the revenue will be recognized a little bit later in the new accounting standard. We set net interest for FY '19 to be around a 110 million and that's inclusive of the share buyback that we announced today and it really reflects the increase and interest rates that we're seeing over the last year. And the benchmark tax rate is now expected to be in line with FY '18, in the range of 25% to 26%. And the cash tax rate, we'd expect to be in the high teens. And taking into account the share repurchase program that we announced today the weighted-average a number of shares are expected to be in the region of 901 million for the year. And we expect CapEx to continue around 9% of revenue, as we continue to invest in innovation and technology agenda to drive our growth. So to summarize it's been a good year, we delivered good financial and strategic progress in FY '18 with a strong finish, strong growth in revenue, EBIT and earnings per share. We've been disciplined in the capital allocation focusing on investments in five return growth initiatives and also capital returns to shareholders. As we move into FY '19 you can see the fundamentals of the business are very strong and we've got good momentum, and we therefore expect another strong year of revenue growth. EBIT growth at or above revenue growth, further strong progress in Benchmark earnings per share, and we'll continue to apply our capital framework with a strong focus on investing for growth and creating long time shareholder value. So with that, I'll hand you back to Brian.
Brian Cassin: Alright, thank you, Lloyd. So, we built the transactions for a stronger business and we were best-in-class data quality, you can see a lot of the products that we have are moving more and more towards sophisticated analytics and software, we're driving towards those new opportunities. Investments that we've made in our business including technology, product, brand, culture really driving and making a big difference to the performance of the business. And we think we got a lot more to come. So we have a lot of confidence as we look forward and we're excited about what we can do. And with that, I'm going to ask Kerry to join us on the stage for questions. Thank you.
Q - Paul Sullivan: Hi, good morning. It's Paul Sullivan from Barclays. And given your sort of lifting the lid on, on margin improvement, how should we think about that going forward? As you did a 110 or 100 basis points in B2B offset by consumer with B2B growth accelerating and consumer now accelerating. You're at best or you're at worst flat seems very-very conservative. So how should we think about the moving parts there this year?
Brian Cassin: So, I'll let Lloyd jump in on this as well. And the first comment I'd make is that we faced discussion on margin for several years now and we've reinvested back in the business quite heavily and you're seeing the results of that coming through in higher growth. And we have a huge range of opportunities to invest ahead of us, I can reel off at least 10 big opportunities that we have next year, we're lifting Ascend into every country that we think we can sell in, and we've opportunities in places like Collections, to the PowerCurve suite, and we just have huge range of things that we can go capitalize it. Now having said that, we are in a position where high gross rates where we have two states discussion one, can your business produce operating leverage absolutely yes it can and it is, and then it is a choice to if investor tell that leverage drops to the bottom line it was better to continue to invest in your business to drive your growth in year two, three and four thereafter. We think that this year, we're able to do a bit about and we're able to hopefully the performance be strong enough to allow us to benchmark flat hopefully but better than that and the rest really be about exactly how fast and where we continue to put capital in the P&L to work and to us is a very important factors you look at the long-term growth of the business. Lloyd?
Lloyd Pitchford: Yes, the only thing to add is clearly at this growth rates, it creates significant optionality for us and we're in that dynamic environment you see that across all of our markets, great opportunities to invest that will be our priority, but it gives us to opportunity to progress margin this year. Well that look like I would like to say 10 to 30 basis points this year given the opportunities we got to invest but clearly we got optionalaity.
Paul Sullivan: The 14% growth you saw in U.S. growth services, does the focus shifts to the sustainability of that growth? How did that 14% breakdown in year-over-year between stuff that you do yourself in terms of new product development relative to the cycle?
Brian Cassin: Well, I will Kerry jump in on this, but I mean a large part of it is actually products that we introduce and we can point to specific contract value that we go for sense for example which just didn't exit six months ago it's very strong. So, yes, the cycle, the environment is good. So there is doubt there is a little bit benefit from that. But the supersize growth that you're seeing on top of that was really as noteworthy. I guess probably the litmus test on that is, as we said this is the strongest growth we've had in credit services since any of those can remember. And Kerry you probably have a longer memory in most of us in that, but so I think it's really a lot of what we're doing in the context of that environment. Kerry?
Kerry Williams: That's all well said, the only thing that I would point out is that the trended data is bit of a boost that we're getting this share, beside that it's all within the normal operation to the business it's driving the growth, so no other big one timers or anything like that.
Brian Cassin: I think it's important to look at decision analytics trends as well if you look at this year you been fairly in North America we recently invest really step. So that share was the strength of that product offering alongside according the service in North America and that's the sticky sale when you combine them. It makes a pretty unique sale for us.
Lloyd Pitchford: Okay, we have a question from front end.
Matija Gergolet: Matija Gergolet from Goldman Sachs, a couple of question on my side. Firstly, on the Brazilian consumer opportunity, right, so you can say hint there's quite a lot bit, we do not yet see in the division of breakdown the Brazilian consumer that will be quite curious to see that was it half going forward or you separately. I mean with this all consumer that you have, do you think that will become a business beside of the UK for example, which is 200 million revenues within reasonable couple of year timeframe, a bit of color on that will be interesting?
Brian Cassin: Well, First things to say actually, hope we come across some slides but the build out of business been spectacular. They are standing to 22 million free customers as it frankly just about the best performance you can the business of its type anywhere, right, and so that's great. And I think the second point is just that we have this as we've been talking to you about before, which is that relationship with the consumers really important. They are increasingly our and will be an important source of data going forward, that's actually happening in Brazil today with the relations that we got. And I think of the opportunity really starts to come with positive data comes in because we have primarily in that 22 million you have a lot of people who are looking to find their about their credit score they might have had credit issues. So they are not prime customers right and but what off course positive data is going to do it's going to allows us to actually have much returns and nation said and it will expand credit market. So that's where that customer base really comes into play, and off course we are monetizing it today and I actually if you think about it globally, we really went in this product set 18 months ago and globally we build roughly what will this year be a $50 million business across the U.S. and UK and Brazil which is not which is not bad from the standing start. I think that can Brazil be met numbers you mentioned, 50 million to $100 million revenue in Consumer Services over and I would say over 3 to 5 years, that's actually the outlook on the firm that we have. And we think it can get there, we have to continue to scale with build that audience and further we've got to introduce the products and we're building those. And I think we will see some acceleration in revenue and consumer in Brazil this year. I think it will be FY '20 and 21 while the rubber really hits the road on that, but we're excited about it and I think, so it's fantastic achievement. Kerry, do you want add anything to it.
Kerry Williams: Yes, I think the only thing I would add is that it is a primary focus as I said this point to capture the heartened mine in the consumers so scaling out with as many consumers as possible is priority number one. And we already know that some other competitors have turned away from the market simply because the great congress that we've already made in Brazil creating that difficulty to end through the market. And capture the consumers now will allow us to do the things that Brian has talked about overtime, and we will stand as well with the plans we have with the consumers.
Matija Gergolet: One more question for me and turning to the U.S. consumer. You saw the little bit say more positive about say, the business solution with Affinity partners. I think in the last year couple of sessions, maybe that was our stable so slightly decline in business and the educational contract. At this time, it seems that you sound a little bit more say positive, I would offers I've seen growth returning there or…
Brian Cassin: I didn't catch whatever you told me.
Matija Gergolet: With the partners in the Consumer Services in the U.S?
Brian Cassin: Yes, and we are positive, but we have a very large profit business in the U.S. I think we've got great capabilities through the CSID acquisition. We're introducing a lot new product into that channel, and I think we see a very good but the outlook for that business going forward.
Lloyd Pitchford: The questions is CSID and has really changed the nature of the conversation with potential clients because this is a cross order of credit and then identity and following that's really improved our outlook.
Tom Sykes: Tom Sykes from Deutsche Bank. Just on your margin improvement and the different moving parts in that say for 10 to 30 basis points this year and consumer is going to be presumably less of a drag. Should we be thinking of B2B being slightly less of the contributor in operational leverage terms, if you're going to 10 to 30 basis points to the group? Then also if you look at the cost base right now, it's like your data and IT costs went up about a 100 basis points, which was a bit of a -- might have been a bit of a surprise but when you're thinking about where the different cost elements lands, contributing to the margin performance, should we be thinking that data and IT continue to go up, as marketing costs go up and can you actually get any leverage on your labor costs?
Lloyd Pitchford: A few things in there, I think if you look at our B2B progress last year was very strong, if you look at marketing services, the progress was particularly strong, we took the opportunity here to dispose off of the CCM business that really take a quite a bit of costs out of our business though, that's passing over one off contribution, you wouldn't expect marketing services to set forward so strongly in a normal year. But overall as we said you've got significant optionality, and in the year ahead, we'd expect Consumer Services, and the launches that we've got to do in the investing behind scaling that, probably to come down a little bit more, around 21%, or around 20% but more of the B2B margin leverage will flow through. On your data and IT cost question, within our consumer business one of the big things we've done in the last year is enhanced the proposition, so from a 1D product to a 3D product, obviously we pay for data contribution, and obviously we're enhancing our data assets, whenever we can. So yes that's an increasing cost that you see it very much going through the top line growth of the business.
Tom Sykes: And if I can pull out one question on margin, but just on the Consumer Services growth in North America, CSID is now in the organic growth and has annualized some of the losses of the major customer that that business had, so are you able to say what the contribution of CSID to the U.S. Consumer Services growth and back to the comment on what's happening to the base level of subscriptions in that business as well?
Lloyd Pitchford: So, moving parts on consumer, the split between the direct and affinity is still about 60-40, in that affinity about partner solutions you've got a growing CSID business, as you say is annualized. The old pure credit affinity business is declining, those two offsets so we've got a growing Partner Solutions business maybe low single digit in the year ahead. And then on the direct to consumer, credit subscription, the traditional credit education product, continues to decline, and when you take subscriptions, credit and identity together our subscription base is now growing and if you take the new products across both identity and lead generation, you look at over the year ahead, and those -- there's a pretty significant step up in contribution from that, so strong growth in Identity and lead generation offsetting declining credit education, Partner Solutions growing moderately overall, that's a algorithm that gets you back to that mid single digit in the year ahead.
George Gregory: It's George Gregory from Exane PNP Paribas. Two please, I'll -- just one, that's following up on that last question, Lloyd. Just thinking about the evolution of the ID Works and LendingWorks obviously this year we will benefit from the significant growth in ID Works over the years. Just wondering, how you see ID Works evolving as it becoming few years? And similarly, how should we think about LendingWorks evolving over the medium term?
Lloyd Pitchford: Well, they both are going to grow and in terms of evolution, the ID Works products have scaled really rapidly. We're not seeing any tail off in that. We're not seeing any change in market conditions. So we still think that we have a long run of growth of our business. And that is consistent, that is a business that can be a very large revenue stream for us. The extent to which is sort of builds 91 years. It's the best part to predict. But you've seen the pace of which we've gone in FY '18, we expect this continue to similarly fast base in FY '19. LendingWork is building from a much smaller base, and when we talk to you last year, we said we're IdentityWork first and LendingWork second, large part of that because we have to build that offers on the base and get market coverage. And second thing we talk to you that was, we need to insure that we maximize the traffic for the intent that the traffic is actually coming for us. So we got, that's why we reference the fact that we're leveraging CRM and previous customers basis and current and past members and driving profitable growth. And see if we could drive growth in a business like LendingWorks where driving profitable growth is the key and that's what we're focused on building that. So I think we're taking it as what we think is the appropriate takes it will grow rapidly this year and we will take decision insuring the year to whether we think that can scale more than planned or the one. I think we said when we talked about the performance in the consumer business, the identity in lead generation market are too very significant markets but are very available to us we got a right, we got the products and when you look at that, they are now close to 40 million free members we got across Africa geographies we got real opportunity there too, so really progressing scale our business.
George Gregory: Just one quick question on the IFRS-15 changes, just wondered if that has any impact on the evolution of margin, goes forward given the deferral of that, that revenue being recognized?
Lloyd Pitchford: It shouldn't be when you restate the new margin comes down slightly but that means you're revenue in each years is more underpinned because that comes back but no change on growth rates, no change on margin production its really. It's just a technical we different way that you recall the revenue.
Brian Cassin: I'm impressed that we got this IFRS question. I am pleased.
Andy Grobler: Andy Grobler from Credit Suisse, no IFRS question, just one on slightly broader on, you talked a lot about automation and digital as a way to reduce your cost and also to enter new market. How do you balance that opportunity with the potential impact on price not just for the newer businesses but your existing services? Are you seeing some price does that comes through?
Brian Cassin: I will let Kerry jump in on this and there is two aspects of this. One is, how'd impact our clients business. And second is how'd impact our business because we actually made massive progress in applications automation and robotics in our business. That's quite exciting. The answer is no because what you're getting is developing prepositions for your clients, which enables them to take cost out now that means the preposition has significant value let's take a stand where we're taking cost out. Well, if you look at the job of an analyst who is creating model in a fact and maximum amount of time is actually spent in something called data prep, right. Date prep means taking big data steps and putting them into an environment where you can actually do the analysis it takes a massive amount to takes up the huge proportion of their analyst time. The Ascend platform completely eliminates that because the data is pretty out and the models are really to work and it can take it adjust to take from different sources so you have massive efficiency things are little bit to the platform that phased them and hell lot of money and so it's a value equation that how much of the saving on that solution and in fact what you can see is actually increased spend because we're able to take more and more core functionality out of their cost base and into the platform so yes reduce cost overall but more spend gear towards the solutions is actually helping that happened. And then Kerry on around it.
Kerry Williams: Yes, so that's right Brain and it's a good question. So I've got 15 years of watching the prices the cost efficiencies the automation in this industry that's been occurring and it's no longer about selling data and a credit score right it's about all of the value that Brain was just articulating and our capabilities across the spectrum from our decisioning capabilities are broad capabilities, the sand box you name by the tax to credit all of those things now are driving so much value with the customers that we've seeing we have seen a market decrease in pressure on prices and more of a focused on help us to run our business better. And so I's different now than it has ever been and in the 15 years that I've been here recently I've lots of opportunities to help the clients stay cost out we take cost out of our business we like to take cost out of our business to become more efficient and allow us to invest it back into other opportunities and we've been very focused on that with all of the work that we've been doing across the board for the last several years. So kind of two parts to the answer lot of opportunities internally which we've been doing and will continue to do but we have seen less pressure on price because of the capabilities that we have in the market place the sophistication of them and the fact that it's no longer about selling data and credit report and a credit score that's now wanted to about anymore.
Andy Grobler: Just on a related topic that would you totally not about the stand that all this capabilities. When you're going to see perspective clients? When they say now? Why do they say given the cost savings so that can revise?
Brian Cassin: Well a lot of the time they say no because they don't have the budget or they don't have the time to actually look at the solution enough ready. There are very few capabilities that we go to the client and they don't say, that looks great we like that. Sometimes you go and they sort of say, well we can't focus on that because this our problem here, blah, blah, blah or we for whatever reason. And I don't think that we every go to market solutions that people don't think really, really good. And And sometimes there can be a bit skeptical about or why we have to prove that, what I will say is that for most of the products that you're looking at me talk about lot PowerCurve, CrossCore, Ascend, these products take a long time to sell into a B2B environment because of the complexity of that B2B environment so it does take a bit of time for market perception to start to happen, this is why Ascend is so rapidly been accepted in the marketplace, a real measure of its success. But once you get there I think it really quickly becomes widespread, that this is the product that people have to have, so, I don't know.
Kerry Williams: So, a few more examples on that, in the software space we might not win a deal, when they already have part of a competitor already embedded in their enterprise and they don't want to have to upgrade that piece at the same time that they're trying to put in a different piece, so you might not be successful there, because they've already have and embedded estate with a competitor. The same thing applies on the credit side. If someone has they're already buying data and analytics in the account management programs from one of our competitors and then they want to start doing triggers so they want to start doing something along those lines. There is a lot of benefit to going with your existing provider so you might not be successful in that instance. When it comes to competing for new -- new software, new analytics, someone looking for new data sources and the deals that we're competing in we're winning a majority of those deals or none.
Ed Steele: Ed Steele from Citi. Two areas I'd like to ask about please, first of all, obviously you've won this large trended data contract, to what extent is trended data already looked at by your core, services clients is in your credit, U.S. credit bureau? And why wouldn't over time all of your or most of all -- all of your clients use it, so can you just talk about that please? And the second area Lloyd talked about is in the North American Consumer Services division, you talked about the very obvious trends within that, but if you look at the core subscribers within the credit part of that division, which is probably the half of the revenue last year perhaps. Just feeling your -- the qualitative comments, you're making about the visibility growth decline, both growth improvements in the next few quarters, it seems that you sensed that the resilience within that consumer base -- subscriber base is getting better, is that because you're down to a ramp or sticky subscribers that you think will stick around irrespective of marketing spend, move from that space?
Brian Cassin: Okay, Kerry do you want to take it?
Kerry Williams: Sure, so on trended data, so we launched trended data 10 plus years ago, we focused primarily in the credit card market and have many customers in that space today. So, we've recently then moved into the mortgage market, which is the trended data, opportunity that we're referencing, it's sophisticated, it's sophisticated analytics, and so your medium to larger clients are the ones that are likely to utilize it. So it's not something that a smaller credit union or small bank might take advantage of unless they are just very progressive because there is an additional cost what they have to work it into their analytic capabilities. I think we're going to be moving into other verticals so we do have opportunities there, but it's something that we've already had for extended period of time in the new piece with mortgages as what were referencing now in the opportunity and we will continue to expand.
Ed Steele: [Indiscernible]
Lloyd Pitchford: Yes, I think we've seen this while as you see some of the newer clients as will off the credit education product, you seeing some, you enter more of those more resilient. The other thing is, we're obviously increasing the functionality that targets those consumers. And I think this is an ecosystem customer comes in one place, we give them the opportunity to meet the medium long as they need given them the opportunity to move across and that's just naturally makes it more resilient. And also maybe access those pretty unique for us to cold call center agents to help people across our is, business is something that really differentiate. So those three things together I think you're right we're seeing more resilience. Obviously, it's an area that's declining a bit, the growth is really coming overall in the revenue from that, from the new product streams.
Brian Cassin: Okay I'm just going to check if we have any questions on the line.
Operator: We do have a question on the line. The first question comes from Brett Huff. Brett, you line is now live. Please go ahead.
Brett Huff: I just have two. One the first one I think you given us the specificity around the 10 to 30 basis points of margin expansion, we should look for this year, you guys have been talking around a little bit higher revenue growth and it didn't catch any specific ranges. Did you articulate those that I missed them or do you have range that you can share with us in terms of revenue growth this year?
Brian Cassin: Yes, but we're clearly going to be with some really strong momentum so which that makes official guidance, next year will be another strong year of growth was does that mean, I guess the year is a whole something in that 6% to 8% range but we clearly going to stop very strongly so probably more in the top end of that range as we go through the first half and we will see have some of the new products developed in the second half.
Brett Huff: Truly helpful and then can you talk a little bit about bigger picture, as you divide these two new categories, I know there business you have for a long-time consumer and then B2B. Have you think about the incremental dollar that you're spending from the little the higher revenue growth which you're seeing. Where are you looking to put that incremental dollar and I guess maybe it's more of a long-term ROI key question, how do you, where do you see the incremental dollar being most useful or most productive over a medium term period. Thank you.
Brian Cassin: I think if you look back at the progression of our decisioning business, the combination of decisioning with that is really our play that's a really value play and the cost plus play, its very sticky where our clients because it's really adding value as you say that the explosion of different base or cost different verticals in industries our decisioning software can play in multiple verticals and multiple markets and Brian told talk to that the combination of same PowerCurve and decisioning so we can apply to any real time decisioning and we say a lot of opportunity for that.
Rajesh Kumar: Rajesh Kumar from HSBC. Just in terms of appreciate that a lot of accounting growth in new products but in terms of the traditional drivers like mortgage cost if we can get some color on how those different parts are progressing, and how do you see the outlook for that through the year. The second one is on the competitive landscape both in the U.S. and in Brazil, how do you see that shaping up specially the diversion in the organic growth you and one of that here have with the third major players into the quite significant?
Brian Cassin: So obviously the including the traditional growth it varies by market, so take the U.S. first I would say that how going very strongly double-digit. Our BRI business there again will strong double-digit growth also was at flat for the year as a whole but marginally up in Q4 which given the battle there we called was a good performance. Core credit is doing very well really strong and robust of volumes in core credit market. And mortgage obviously, if you strip out the trended data contract and while it was positive to the price going down a little bit, but you take all about together in North America really strong. In Brazil, obviously the economy is improving and some of our metrics lag that. So obviously employments are good metric, but that's so convenient to go up a little bit, but we're seeing the drop off in some counter cyclical revenue which is usually a good early signal. In to the UK, I think we are seeing solid performance there across our core market a lot of our growth we saw in the fourth quarter was really the bundling of decisioning with products and obviously we're keeping a close eye on the UK economies and some of the uncertainties that result in the year ahead.
Kerry Williams: Yes, the divergence of growth rates that you referenced it's simply what the other competitors said in their earnings release which is they haven't had the opportunity to compete with the new business given what's occurred to them. And so that's had an impact on, and it's at the margin for us, so it's not the big driver of our growth, but in totality for them it's probably significant lease that's their statements to the effect.
Rajesh Kumar: So the question was over the next two to three years, do you expect from reshuffling of that market shared within the market with…
Brian Cassin: I think that we will continue to win our share of the business because of our capabilities and what we bring to the market. And that's how we think about it. I don't think that we are growing to prosper simply because the competitors had a problem last year.
Lloyd Pitchford: I think the really exciting thing for us was actually is the opportunity to make new market it's not in marketing shift, but I think our competitors would say the same. The skills we have in particular across data and decisioning, we can apply to completely used cases, so new market and growth that's how really what we are very excited about.
Giasone Salati: Hi, it's Giasone Salati from Macquarie, a couple of questions please. Coming back to revenue growth and that, can you help us understand how much of that comes from pricing or/and new products? I'd appreciate if you delivering bigger cost savings, maybe there's a big pricing elements alongside new products? And the second question, can you clear the ex-factor Cambridge Analytica and Company that you've no exposure to any big contracts with Facebook or else which might be calculated in the near term or ever?
Brian Cassin: Okay, do you want to deal with the price falling and I'll come back to the Facebook question?
Lloyd Pitchford: Yes, it's almost impossible to breakout price and volume when you think about the bundled nature of our business, I think overall you would say core data sales overtime, so it's not that data clients tends to be price compression but all the value goes back in, actually to decisioning where we see ever increasing value, so we're winning more share of wallet and the size of the overall wallet is increasing, so that's probably the best way.
Brian Cassin: The one thing I would point out is that traditionally revenue is held in Brazil because of price increases, but because inflation is so low the performance of the business is purely around what we're generating in terms of new products, new sales, market share gains and not because inflation is allowing us to increase prices because inflation is at around 4% right now, so less of a factor in terms of powering our growth and maybe historically you might have seen.
Lloyd Pitchford: So, we do have a relationship with Facebook, they've been a global partner for us for last few years and across region now Facebook has closed down all their profit categories. What do we do? We actually allowed people to build audience segments according to the Experian data sets on Facebook platform and what it means is that those audience creations that will continue, so it actually will be done on a constant sales, and to use the data and the platform and then just be delivered in a different way. So I think there'll be some temporary lumpiness as we move through that, I don't think long term it has any impact, and so that, no, we don't have any exposure in type that, I think we've impacted them over in the last few months.
Giasone Salati: And that any movement, any lumpiness is included in your guidance on organic growth?
Lloyd Pitchford: Okay.